Operator: Good morning, everyone. Welcome to the Medical Facilities Corporation 2020 Fourth Quarter Results Conference Call. After management's remarks, this call will include a question-and-answer session, whereby qualified equity analysts will be permitted to ask questions. Before turning the call over to management, listeners are reminded that certain statements made in today's call, including responses to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian Provincial Securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the annual information form and Medical Facilities' other filings with Canadian Securities Regulators. Medical Facilities does not undertake to update any forward-looking statements. Such statements speak only as of the date made.
Rob Horrar: Thank you, Chris. Good morning, and welcome to our fourth quarter 2020 earnings call. Joining me today is David Watson, our Chief Financial Officer. Earlier this morning, we released our fourth quarter and year-end results. Our news release, financial statements and MD&A are available on our website and have been filed with SEDAR. I'd like to start by expressing my gratitude to our physician partners and all of our healthcare associates who continue to deliver outstanding care to patients each and every day. We are incredibly proud of how well they managed the challenges of this past year. There are a few key takeaways that I will cover in my remarks today. First, our case volumes continued to recover and are closer to pre-COVID levels. Second, we continue to benefit from decisions we made, both prior to and during the pandemic. And third, we are well positioned to capitalize on market opportunities as the recovery continues. 2020 got off to a strong start. However, by the second half of March, COVID-19 had begun to surge. As a result, stay home order orders and temporary cessation of elective cases were implemented, which had a material impact on our business, most significantly, in April and May. The third quarter saw a dramatic rebound in case volumes. And volumes continued to normalize throughout the fourth quarter despite the higher prevalence of COVID-19 across the United States. Notably, hospital surgical case volume dropped to 36% of the prior year in April, but rebounded to 94% in the fourth quarter. Despite the improvement, however, COVID continued to impact our volumes during the fourth quarter as some patients deferred care. The second quarter dropping cases and the following recovery was even more dramatic in our ambulatory surgery centers. Last April, our ASC case volumes were only 8% of prior year. But in the fourth quarter, they improved to 90% of fourth quarter 2019 levels. Our ability to recover quickly was due to the hard work and commitment of our partners and associates to ensure that our facilities continue to provide a safe environment for patients and staff. The critical importance was the government relief funding that our hospitals and ASCs received at various times throughout the year. These funds in addition to changes we made to our dividend, retirement of our debentures at the end of 2019, and selling down our position in Unity Medical allowed us to weather this unprecedented storm as well as we did. 
David Watson: Thanks, Rob, and good morning, everyone. As usual, a reminder that all dollar amounts expressed in today's call are in U.S. dollars unless otherwise stated. I'll discuss our fourth quarter and yearend financial performance, then provide an update on our balance sheet and liquidity. For the year, total revenue and other income from continuing operations was $389.9 million, down 2.1% from fiscal 2019. The 2020 figure included $26 million in government stimulus income, received by our surgical hospitals and ASCs. The year-over-year decrease was primarily due to the decline in case volume, especially earlier in the year when the pandemic forced facilities to reduce elective surgeries, or temporarily cease operations. In addition to the pandemic affecting elective procedure volumes, the fourth quarter of 2019 included cases from Two Rivers in Central Arkansas Surgical Center where the fourth quarter of 2020 did not. As Rob mentioned, we saw a dramatic rebound in case volumes in the back half of the year. However, they did not reach prior year levels. On a same-store basis, total surgical cases were down 7.1%, outpatient cases were down 8.8%, and inpatient cases declined 9.2% from the fourth quarter 2019. Observation cases on the other hand, increased by 26.8%. In the fourth quarter, we had total revenue and other income of $109.5 million, which included $2.4 million of government stimulus income. This is 3.9% lower than the same period last year. Excluding transaction costs on the sale of the controlling interest in UMASH, adjusted EBITDA for 2020 was $96.1 million. This is a decrease of 0.2% from prior year adjusted EBITDA, excluding the $22 million non-cash goodwill impairment charge. As a percentage of revenue, adjusted EBITDA in 2020 improved to 24.7% compared to 24.2% in 2019. In the fourth quarter, we had EBITDA of $28.4 million, down 13.1% from the fourth quarter of last year. Our EBITDA margin for the quarter decreased to 26% of revenue from 28.7% in 2019. The decline was mainly due to lower case volumes, which translated to lower income from operations at most of the facilities.
Rob Horrar: Thanks, David. Last September, we announced the opening of St. Luke's Surgery Center, Chesterfield in Missouri. This is a de novo ASC and offers six specialties including orthopedics, gynecology, GI, plastic surgery and general surgery. We're happy with early performance of the St. Luke's ASC and expect cases to continue to ramp up throughout 2021. Ambulatory surgery centers are an important part of our growth thesis, whether through acquisition or development of new centers. Ambulatory care is one of the fastest growing and higher margin segments of the United States healthcare industry. Patients prefer the accessibility and lower costs afforded by ASCs. And on top of that, the pressure on acute care hospitals during the pandemic highlighted the important role that ASCs can play in the healthcare landscape by providing an alternative and safe site for our growing list of surgical procedures.
Operator: Thank you.  Your first question comes from Endri Leno with National Bank. Your line is open.
Endri Leno: Hi. Good morning. And congrats on the recovery of volumes in Q4. A couple of questions. First, I'll start, Rob, you mentioned in your prepared remarks that there was some case -- surgeries postponed in Q4. I was wondering if you can talk a little bit more about them in the sense that if we were to normalize Q4 results from these, where would your overall case volume be in Q4? How quickly do you think these cases will get rescheduled, or have any of them already?
Rob Horrar: Yes. That's a good question, Endri. And thank you, and good morning. So, we're really talking about patients who are reticent to come for either a clinic visit or even have surgery. We've seen, as we've talked about the ebb and flow, and actually more of the flow of COVID through the fourth quarter, we know those cases are there. Our facilities -- and we really can't measure that. But, we know it's there just episodically. So, coming out of COVID and as the vaccines roll out, we expect that to return. It's hard to calculate exactly what that is. But, we do know there is some demand in some cases. And I’ll tell you, for the most part, those who truly needed urgent care and treatment, got it. But there'll be some deferred care. And we're not alone in that. I think, every healthcare system is in the same boat with that.
Endri Leno: Okay, great. Thank you. My second question is that you also mentioned in the prepared remarks, but it was also a bit touched upon in the Q3 call, is that of the possibility of picking up cases from acute care hospitals. Was this the case in Q4? I mean, did you think you saw any volumes because of that? And does this still hold true for 2021 as the pandemic sort of recedes and fades?
Rob Horrar: Yes. Actually, it was the case in Q4. Some hospitals were limiting elective cases and scheduled cases as COVID admissions increased in their facilities. We did have a number of our facilities benefited from physicians, even those that were employed by other health systems and brought cases to our facilities. The experience was outstanding, the patient satisfaction was extremely high and comments that we received is they’d like to continue to do that. Don't really have any numbers to put to that going to forward. But, it was a positive experience, as we called out in our ASC space, the same thing apply to the ASC, where those cases couldn't get done in the hospital. We did get a benefit in the ASC space.
Endri Leno: Great, thank you very much. And the last one for me, I'll jump into the queue. But, if you can talk a little bit about OSH, I mean, what was happening there? I mean, you had revenue down but expenses were up and then they had this default on the -- on their other debt. I mean, first of all, what's happening there, then what is the outlook for that obstacle in Q1 or for rest of 2021?
David Watson: Yes. Endri, it's David. So, in Q4, OSH volume, they were down about 9% that corresponded to about a 10% drop in the revenue. And on the expense side, they've seen -- it had fairly high health benefit expense, primarily COVID related and that had an impact on the quarter. Consequently, when you look at the results for the quarter, it had an impact on their ability to meet their covenants, the trip to covenant. And as a result of that, they paid down the debt that was going to year-end.
Endri Leno: So, how does the situation look then now in -- after all, has it improved at all, or does it continue to be similar to Q4?
Rob Horrar: No. I think, this is the same -- again, this is primarily predominantly a spine hospital with orthopedics. Their outlook, I think we're very optimistic on that. It'll return. COVID was a big issue here. So, coming out of all of that, the outlook for OSH, we're very optimistic it’ll return and be back to normal.
Endri Leno: Okay, great. Thank you very much. I’ll jump into queue.
Operator:  There are no further questions. I will now return the call to Mr. Horrar for closing comments.
Rob Horrar: Thank you for joining us on today's call and for your continued interest in MFC. As always, we look forward to reporting on our progress again next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.